Johan Andersson: Hello, everyone, and welcome to the presentation of Husqvarna Group's report for the second quarter of 2025. My name is Johan Andersson, responsible for Investor Relations and will be the moderator here today. With me here in Stockholm, I have our CEO, Pavel Hajman; and our CFO, Terry Burke. Pavel and Terry will present the report, and then afterwards, we will open up for a Q&A session. [Operator Instructions] So with that, once again, welcome, and I leave over to you, Pavel.
Pavel Hajman: Thank you, Johan. And of course, a warm welcome from my side as well. I need to press here. So let us start with the latest news as per our press release from yesterday evening. And the Board of Directors has appointed Glen Instone as the new CEO effective August 11. And I'm very glad to hand over the baton to Glen. He's a great leader with long experience in Husqvarna, and I wish him, of course, all the best for the new role. And Glen will, of course, then present himself on the upcoming quarter 3 report. I am also very glad and proud to announce that we closed the second quarter, which is our biggest quarter for the year on a positive note. We delivered a good organic growth for the group and improved EBIT as well as improved EBIT margin across all 3 divisions. And 2 areas of strong performance this quarter were robotic mowers and watering products. Our consistent focus on innovation, go-to- market execution and delivering premium products under both Husqvarna and Gardena brands is clearly delivering strong results. Additionally, we continue to deliver on our cost-saving measures. We focus on cash flow, and we have further reduced our net debt. At the same time, we are making good progress on our sustainability agenda and have now reached 2 out of our 3 Sustainovate targets. Delivering on both fronts, financial and sustainability reflects our commitment to sustainable value creation. However, we should bear in mind that the macroeconomic environment remains uncertain with ongoing trade tariffs, geopolitical instability, currency fluctuations and also a cautious behavior from both channel partners and consumers. And we continue to address these challenges through operational efficiencies, pricing strategies and also supply chain optimization. Unfortunately, we remain fully aware that these factors will continue to impact us and particularly in North America. So with that, let us also look a little bit at the financial details for the quarter. And if we start with group net sales for the quarter, we delivered a 5% organic growth, largely driven by the Husqvarna Forest & Garden and Gardena robotic, handheld and watering categories. However, as said, we continue to experience the uncertainty in the global economy, and all 3 divisions have experienced difficult market conditions with lower sales in North America. Group operating income increased across all 3 divisions and grew by 7% to SEK 2,041 billion for the group, and the margin is up with 1 percentage point. And this development is driven by the higher sales volumes, also a favorable product mix and as well as a good result from our cost-saving program. And the improvement is despite the negative currency, despite trade tariffs and also despite negative price effects. And we're actively working to deliver a good cash flow, where inventory optimization is one of several key areas, and inventory was reduced by close to SEK 3 billion compared with last year as reported. And direct operating cash flow amounted to SEK 2.4 billion in the second quarter, and we also managed to reduce the net debt with SEK 3.3 billion compared with the same period last year. As for robotics and battery, the share of group sales is now 22%, up from 20% on a 12-month rolling basis, and this is driven by our many new product launches within these areas. And we have seen a very strong growth in our pro robotic mower category, along with increased transition to the boundary wire-free products for consumers. Regarding battery, both professional and residential battery product categories increased in the quarter, particularly handheld product, but also our newly introduced wheeled products. So with that overall summary of the quarter, let me then pass over to you, Terry, to go through some more specifics for our divisions, please.
Terry Burke: Thank you, Pavel. Moving to the Husqvarna Forest & Garden Division. This was a strong quarter for the Forest & Garden Division with an organic sales growth of some 5% and an improved operating margin of 13.3%. We talked a little bit earlier about the good development of sales in robotic mowers. For the Forest & Garden Division, we had a 15% robotic mowers growth. So we feel very pleased about that. It was particularly strong in the pro segment. We also had good sales development in the handheld and battery- powered products. Again, in the pro side was strong, but also growth in the residential. The challenging situation of North America continues. That has continued throughout the course of the first half of the year, and we expect that to continue going into the second half of the year as well. this has had a negative impact on our operating income. There is a negative currency effect of some SEK 50 million in the quarter as well. And we have lowered prices, particularly in the robotic with the price adjustment to reflect the very competitive landscape we face in robotic. First half year, we have a 5% organic sales growth and an operating margin of 13.1%. Also may be worth pointing out the currency effect for the first half year is some negative SEK 155 million. Moving on to Gardena. Also a good strong quarter 2 for Gardena with organic sales growth of some 7% and again, an improved operating margin at 17.5%. The growth was really driven by Europe. And in particular, we had strong watering growth, good demand in the peak season of quarter 2 for watering. So that was really good to see. Some 15% watering sales growth in the quarter. We also had growth in our robotic lawnmowers, really driven by the launch of our 3 new boundary wire-free models, which have been well received into the market as well. Our EBIT operating income grew by 18%, really helping through the volume growth, but also favorable mix. Watering is a margin-accretive product category for us, and we continue to deliver on cost savings. There was a small currency headwind of some SEK 15 million negative in the quarter. First half year, sales have declined by 1% organically, and we have an operating margin of some 14.5%. Currency headwind in quarter -- in the first half year is some minus SEK 35 million. Construction. Construction was the one division that did not have sales growth in the quarter with a sales decline of some 4% organic. However, it did improve the operating margin quite considerably to 12.7%. I would describe the market situation as quite stable in Europe and let's call it, the rest of the world, but there is a continued weak market in North America with lower sales and lower operating income. There has been good growth in demolition robots, dust extractors and aftermarkets, which allows us a more positive mix, which is contributing to the margin improvement. And in addition to that, our operational efficiencies and our cost saving program is all contributing to that improved operating income and margin. There was a currency headwind. So despite this improved operating income, there was a currency headwind of some SEK 60 million in the quarter. In the first half year, sales have declined by 6%, again, really driven by North America and an operating margin, a slight improvement to 10%. Also to point out, in the first half year, currency had a negative impact of SEK 80 million for the Construction Division. Moving on to our EBIT bridge. Our quarter 2 EBIT margin improves by 1 percentage point, and it improves to 13.4% compared to 12.4% quarter 2 last year. We have a positive volume and mix effect. We've talked about the 5% organic sales growth. And in addition to that, we have grown in favorable margin-accretive categories such as robotic, water and construction to a certain degree in the mix within Construction. We have a negative price impact of some SEK 160 million negative. That's the net effect. There's a lot of, obviously, price movement going on within, but the big driver for the negative price development is the robotics price adjustment, both in the Forest & Garden Division and Gardena Division. We continue to deliver on our cost saving program, some SEK 225 million cost savings coming through in the quarter. So we feel very pleased about that. And we continue with some transformational initiatives, investments of some SEK 40 million. There is a currency headwind that we talked about of some SEK 125 million. And also, we start to see the tariff impact now and the gross tariff impact in the quarter was some SEK 65 million. Now that was more or less half offset by price and mitigating actions. So a negative SEK 190 million from currency and tariffs, leaving us to our 13.4% margin, just above SEK 2 billion EBIT. So for the first half year, we now have a margin -- operating margin of some 12% and SEK 3.6 billion of EBIT. Again, moving from the left to the right, we now have a small positive effect for the volume and the mix of some SEK 20 million. Price year-to-date is a negative SEK 290 million, again, predominantly driven by the robotics price adjustment. Our cost savings program is now above SEK 400 million in the first half of the year as we continue to finalize and close out our cost reduction programs. Transformational initiatives of some SEK 70 million, we've continued to invest. And then we have the currency effect for the first half year of some negative SEK 265 million, and then we have the SEK 65 million of tariffs, gross tariff impact. Okay. With that, I think we can move on to the balance sheet. We maintain a solid financial position. And maybe just a couple of things to highlight here. As you can see, our inventory levels continue to reduce. We come from a high level in 2024, and we've worked hard to reduce our inventory levels, SEK 2.8 billion reduction compared to this time last year. If you adjust for currency effect, it's around SEK 2 billion inventory reduction. We've got a good cash and cash equivalents that is improving, as you can see here. And we have reduced our borrowings by SEK 1 billion year-over-year as well. Maybe also to call out trade payables has increased, but that's really driven by the higher volumes. Moving on to net debt/EBITDA. We have an improved ratio here and an improved situation with our net debt/EBITDA. We have now reduced this from to 2.3x compared to 2.5x at the start of the year, and we were also at 2.5x at the end of Q1. So that's really good to see that development, and that is really driven by our continued reduction of net debt. So it's good to see. Finally, from my perspective, good solid direct operating cash flow. We are at SEK 1.1 billion. for the first half of the year. I would say that's good performance. It's below the previous years. But of course, the previous years, we were much more aggressive in reducing our inventory levels. We continue to reduce our inventory levels, but at a lower rate than what we did in previous years. So I think there's a good situation with our cash flow as well, and that continues to help us maintain a healthy balance sheet and continue to lower our net debt. With that, Pavel, I'll pass back to you.
Pavel Hajman: Absolutely. Thank you, Terry. And I believe you're all aware of our 4 strategic focus areas for value creation and the underlying service business also that relates to this. And despite challenging times in the recent years, we have continued to invest in R&D as well as go-to-market in these areas, predominantly into the robotic area, of course. And as said in the beginning, we are now improving in these key areas for value creation, but also on our commitment for sustainability. And let us take a closer look then at the key drivers: robotics, battery, professional products, and watering. And the clearest illustration of our strategy in action is really the progress that we have made towards our operational ambitions that we set out in 2021 regarding robotics, battery solutions, professional products and the watering/connectivity part. Now on robotic mowers, you will note that we have now reached SEK 7.8 billion in sales on a rolling 12-month basis, which is an improvement from the previous period. On the share of electrified products, 46% of our motorized product sales are now electrified, which also is an increase. And when we talk about professional sales, 35% of our group revenues now goes to professional customers. And finally, also, we have sold 5.5 million connected products. And these examples then illustrate how we are developing and transforming the group, and they really also continue to drive our progress. Whilst there is still work to be done, and we have not yet reached our ambitions in every area, we remain fully committed and are moving steadily in the right direction. Let us take a look also on robotics and how that is driving us forward. Husqvarna Group is the world leader in robotic mowers. We have a business that is structured across 3 segments. And the most recent and fastest growing is our professional segment. This is serving golf courses, sports arenas and other private and public spaces. And this season, we launched 4 professional robotic mower models, which already are driving a strong growth and also strengthening our market position in this segment. And our largest segment is the premium and mid-range category, marketed under the Husqvarna brand and sold primarily through our servicing dealers. And we have also recently expanded our range of Husqvarna NERA models with around 80% of those being sold now as boundary wire-free and achieving a double-digit growth so far in this year in this segment. In the entry-level segment, marketed under the Gardena brand and representing less than 15% of our robotic business, that is where we face the most intense competition. However, we have reached a milestone also there with the launch of our first 3 boundary wire-free models in this year, and we have seen also growth here as well. And overall, we are well positioned with a 14% year-to-date growth and a strong pipeline of innovation also for the next season and the years to come. A few examples of progress also overall in the division is what I'd like to share here. If we start with Forest & Garden Division, Husqvarna continues the partnership with Liverpool Football Club that we initiated last year. And they are this year's Premier League champions. And this collaboration really remains central for us to strengthen our global leadership in robotic lawnmowers. Recent brand tracking shows a strong double-digit rise in global awareness for us, and we aim to build on this momentum also for the next season. And please be aware, Liverpool has around 186 million followers in social channels and even more that are following their matches. We're also now expanding our golf initiative through a multiyear partnership with the DP World Tour, becoming a partner of the BMW International Open, the Amgen Irish Open and also the Betfred British Masters. And these events, they are visited by thousands of people, and they also get TV coverage and thus, awareness is growing through that. And golf now actually accounts for 1/3 of the professional robotics business, and we have over 300 golf courses that we added as new customers in this year only. Further, for Husqvarna Forest & Garden, we have launched a strategic pilot with tailored offerings at Clas Ohlson in Sweden, Hornbach and Hagebau in Germany and also Leroy Merlin in France. And we've entered around 60 stores in key markets, and we plan to reach 250 stores for next year. We've also expanded on digital marketplaces like Amazon, ManoMano and strengthening our position in the suburban market, which actually holds a significant untapped potential in both robotic lawn mowers as well as battery products. For Gardena, I'm glad to say that the Gardena watering business is now swinging back. After a rainy 2024, retailers were very cautious with early orders. But despite then sudden demand spikes that came here in this quarter, we really scaled up our production, and we could manage to deliver on time and achieving here a double-digit growth and record levels, partly thanks to our new innovations like the AquaPrecise that you can see here on the picture. For Construction, the division remains steady across the season. And this quarter, we launched a new generation of professional dust management equipment. And this advanced solution integrates with our existing portfolio and the other products there, forming a complete system that effectively then tackles the airborne dust enhancing the safety on construction sites, which, of course, is enormously important. As you know, sustainability is a key part of our long-term business strategy, and we are making solid progress also in this area towards achieving our Sustainovate 2025 agenda. And this includes 3 core targets: it's carbon, it's circular, and people. And for carbon, as of quarter 2, we have reduced our absolute CO2 emissions across the value chain by 55%, continuing our decarbonization journey here. And this significantly exceeds our 2025 target of a 35% reduction. And note that we saw a slight rebound then in emissions between Q1 and Q2 here due to changes in product mix. Circular. During the quarter, we introduced new circular innovation, bringing the total now to 41. And this was the K 1 PACE power cutter and the diamond blades, where we have the weight reduced by approximately 20%, while at the same time, maintaining the expected lifetime of these blades. And several additional candidates are now under evaluation then for the current quarter and the current half year. And on the people side, we further increased sales of our sustainable choices and the assortment there in product solutions with a proven lower impact on natural resources and the environment, of course, on that also. And by the end of quarter 2, we had sold around 5.2 million sustainable choices, also here, achieving our 2025 target in this area. So in summary, we closed our important second quarter on a positive note, strong results on both the financial and sustainability fronts, which reflect our commitment to sustainable value creation, driven by incremental demand, but also successful new product launches. And importantly, we continue to deliver on our cost-saving measures. We continue to focus on cash flow, and we have further reduced our net debt. Now while macroeconomic conditions remain uncertain, we are proactively addressing these challenges through disciplined cost management and really continued focus on innovation and sustainable solutions. And finally, again, I'm very glad to hand over to Glen, the new CEO for the group from August, and I wish him all the best in his new assignment. So with that, Johan, I leave it over to you and welcome your questions.
Johan Andersson: Thank you very much, and thanks very much for the presentation, Pavel and Terry. So let us start with the question -- any questions from the telephone conference. Operator, do we have any questions from the telephone conference at this point of time?
Operator: Yes. We have a question from -- on one question from Hagéus, Gustav from SEB.
Gustav Hagéus: This is Gustav Hagéus with SEB. If I start with -- on the robotics side, 40% growth in H1 is encouraging. Could you confirm whether or not the market grew faster from what you can see and you lost market shares in the quarter or in the half year maybe? And then also to clarify, given that you expanded somewhat into retail, as you mentioned here, was there a pipeline fill that impacted and was visible in that 14% growth, that would be interesting.
Pavel Hajman: Terry, I know that you've had discussions on the topic of robotics also. So please feel free to continue that.
Terry Burke: So first of all, the market has grown. If you break it down into different segments, I think it's probably the right way to do it. We have had strong growth in the pro segment, and we are basically the market leader, and we grow with the market in that context. In the mid- market segment, the market has grown larger than ourselves. We have double-digit growth, but the market did grow larger than us. And then if you go into the entry segment, we grew, but the market did grow larger than us as well. It's a growing market. It's a fast- growing market. And of course, we maintain our market leadership position in a good way.
Pavel Hajman: Maybe to add to the last part of your question there, Gustav, on the retail pilot that we have, this is currently still marginal sales. Of course, anything that comes from that part -- that channel through HFG is, of course, incremental, but that's not yet what is moving the needle, so to say.
Terry Burke: Maybe one...
Gustav Hagéus: And not from a pipeline fill either. That was the question?
Pavel Hajman: No, no, because also here, I mean, the retail partners have been cautious, so to say, initially in quarter 1, as you recall, if you look on our results and sales growth on that part.
Terry Burke: Maybe one more thing to add, Pavel, is, of course, we have had a negative price development, particularly in the entry segment. The competition have been extremely aggressive with their pricing. And of course, we have had to match some of that to a certain degree. So whilst we show this 14% growth in the first half year, if you adjust for price reductions, we've actually grown considerably more than the 14%.
Gustav Hagéus: And on the back of price adjustments sort of in the lower end of the category range, I'm thinking about the return on investments in continuing to develop a competitive offering in that end of the market. I noticed that, as you mentioned, you offered this Gardena Free this year, but it seems like competition is increasingly offering vision or LiDAR navigation and so forth. Do you expect to need to continue to invest heavily in the lower-end categories in spite of price headwind to stay on shelves? And what -- at some point, would you consider maybe exiting these lower categories to save your investments in other categories with high returns?
Pavel Hajman: I think it is so that we are active in the entry level as a premium brand. We are not competing in the lowest level of pricing spans, which exist in that segment and where also, of course, the profitability is much lower. We ensure that we maintain the value of our brand, both brands in retail, I mean, Gardena predominantly, but also now Husqvarna to be perceived as a premium brand, providing value to the customer over time with reliability in our product and the brand promise that stretches for many years. We are taking synergies, of course, across our overall product assortment and the development of that all the way from pro down to the entry-level products and are, so to say, achieving synergies in that in terms of R&D costs. And for the moment, we have no intention of exiting the entry-level segment. It is also important to remember that this is a complement to the Gardena watering range as it is part of a smart solution where a customer can operate both his robotics as well as his smart watering, so to say, through the same customer interface.
Gustav Hagéus: Okay. And last question on robotics, sorry for dwelling on this, but it seems to me is that the dealers in Europe are increasingly multi- sourcing in robotics, bringing in maybe Asian competitors to complement European ones in the mid-range segments. I guess my question is, given that these Asian competitors seem to be on the hunt for sort of increasing the capability of their machines, I guess, next year, they will serve larger areas sort of up to 15,000 square meters maybe. Is that increasingly something that you need to address that they're now getting a foothold in your dealer base and now maybe we will launch more capable machines, getting you a run free money also in the higher range models? And do you intend to sort of make some type of leap in your offering in Europe and so forth to stand the ground there?
Pavel Hajman: Well, I think it is like this. The competition will, of course, increase throughout all 3 segments over time. We should be aware of that. And of course, we are doing -- continuing our, so to say, focus on R&D innovation, ensuring that we can really deliver good products to the customers. When it comes to the entrance of, so to say, new competitors into our dealer chain, we don't see that. We know that other dealers who have been carrying other brands, they take in Chinese competition, but we do not see that in those dealers that are, so to say, our core dealership network. They stay loyal and they have very high trust in our products. And I think our sales growth in this year is also showing that. But we see that in other parts of the overall dealer network, some of those are taking in new entrants due to the fact that some of their original, so to say, suppliers are not necessarily keeping up with competitive products.
Johan Andersson: Thank you very much. Operator, do we have any other one on the telephone conference?
Operator: Yes. The next question comes from the line of Fredrik Ivarsson from ABG.
Fredrik Ivarsson: First, going back to sales growth, plus 5% organic. Could you comment on the sellout performance, maybe in general and maybe more particular on the boundary wire-free robotics, if you have a view on it?
Pavel Hajman: Well, I'm not clear if your question on sellout was specifically for robotics or general. But in general, we see an improved sellout in the European region versus the North American region. I think this became clear from the presentation also that Terry did that overall, we see a better performance in North -- sorry, in Europe than what we see in North America. And we have a very strong sellout of our boundary wire-free robotics actually both on the European market as well as in the U.S. We had growth in the quarter on robotics in the U.S. also. Despite the fact that there is, of course, a, so to say, challenging customer demand in that region in general due to the ongoing economics there.
Terry Burke: Maybe, Pavel, I can add to that just to set the scene a little bit with regards to North America. In quarter 2, we had negative sales development in all 3 divisions for North America. So North America has been weak for us. It -- we've had positive development in Europe and partly offset by a weak environment in the U.S. and Canada.
Fredrik Ivarsson: That's helpful. And I think you mentioned a 50% share of boundary wire-free robotics within residential in Q1. Do you have an update on that number?
Pavel Hajman: Yes, we do, absolutely. Right now, in value, it's up to 75% actually. So really, the majority of our sales of residential robotics are the boundary wire-free products.
Fredrik Ivarsson: Okay. That's great. Then I wonder if you have any view on the dealer inventory levels as of now and maybe whether we should expect more in-season sales in Q3 than usual?
Pavel Hajman: The dealer inventory situation is, again, a little bit different between Europe and U.S. If you start with Europe, I'd like to say that from a general description, we would say that it's quite a normal level at the time for the season, so to say, starting to go towards the end of the season. There are, in some cases, some pockets of lower inventory. This could be relating in certain areas to robotics, a little bit also to watering given that it's been quite hot for some long time now. Whilst if you go to the U.S., we would say that also there, the situation has normalized a little bit overall, if I take across all 3 divisions. But again, in some pockets, there could be some more inventory at shelf given the, so to say, reduced consumer demand that you see in the U.S. here over some time now.
Fredrik Ivarsson: That's helpful. And lastly, a question on the U.S. performance, whether you've seen any elements of prebuying due to the tariffs?
Pavel Hajman: No, not really. I mean the situation to a certain degree, so let's say, stabilized, first of all, with the 90-day window, tariff window that came earlier. And then also with the -- well, I don't know if I should call it an agreement or preliminary agreement with China that tariff stays on the additional 30%. So we did not see any major prebuys from that respect. However, of course, we took the opportunity to ensure that we use that window of opportunity to ship in products. And in general, we continue to really work on all the mitigation actions that we can there around tariffs, in terms of, well, price increases we have told you before that we launched those in May. We are moving production of certain selected SKUs of high volume, and we are really ensuring that our supply chain and distribution routes into the Canadian markets for anything produced outside of U.S. really goes directly to Canada because there is also a big impact on the tariffs between Canada and U.S., which sometimes is forgotten in all of these discussions.
Terry Burke: Maybe, Pavel, I can just add on the tariffs because we're touching upon the tariffs. We do expect a further tariff pressure of a net impact of about SEK 100 million negative in the second half of the year. We've already had a negative net of around SEK 40 million in quarter 2 and then another net SEK 100 million negative in the second half of the year. We're doing a lot of mitigating actions, as you say, Pavel, with supply chain, but also price increases, but that's the net negative impact of tariff.
Pavel Hajman: And maybe then to build further on that to clarify the picture completely, this is based basically on remaining with 30% tariffs in China and 10% on Europe. Should the European situation change, then we have an additional negative effect that comes on top of that, what you just said there.
Terry Burke: Yes. Good point.
Johan Andersson: Thank you very much, Fredrik. And then we had a couple of questions here from -- that has been mailed in. I think the first one is a clarification to you, Terry. For the Construction Division, what factors contributed to the decrease of 4%? What regions grow or were stable and what declined?
Terry Burke: Sorry, in the sales?
Johan Andersson: Yes, the sales for the Construction Division.
Terry Burke: Yes, it was pretty clear the situation of construction sales development. North America was weak, as I had previously highlighted again, it was weak for all 3 divisions. But for sure, Construction, North America was weak sales, partly offset by a stable, small growth in Europe, and rest of the world.
Johan Andersson: Good. Thank you very much. I think we had another one from Fredrik's colleague at ABG from [indiscernible]. He wonders about the robotic production. Now you're producing in Europe, but you're growing the business in North America, the robotics business in North America. At what point in time does it make sense to start to produce locally in North America on the robotics side?
Pavel Hajman: Yes. Well, we're very happy, of course, that we are growing now the business in U.S. of robotics. Predominantly, it is really the professional robotics that is growing. And we think that this will give a good halo effect also over to the consumers. And we've actually seen a couple of examples of that also through being, so to say, present on golf courses. The volume needs to come up quite significantly before we would consider a manufacturing in the U.S. At current situation with tariffs, we are producing our robotics in Europe, and that is, of course, beneficial versus producing them in China. But we are aware of the fact that when volumes will go up, there will be, so to say, a breaking point when that will be actual. But I don't think it is suitable to discuss that kind of, so to say, tentative or potential timing at this point of time.
Johan Andersson: Okay. Thank you very much. Operator, do we have any further questions on the telephone conference?
Operator: No questions on the telephone conference at the moment.
Johan Andersson: All right. Then we had a final question here from Stefan Stjernholm at Handelsbanken. You achieved very good growth for momentum in robotics in H1. What about the profitability if you compare it to last year? Are you satisfied with the levels? Are they up? And how do you see it?
Pavel Hajman: The profitability specific to robotics.
Johan Andersson: Robotics in H1.
Pavel Hajman: Yes. And I think we've been quite transparent in our profitability. We are margin accretive from a robotics perspective when we go to the more mid, premium and professional side. It is margin decrease accretive when you start to get into the entry segment. It's a very tough competition out there, very price aggressive, and that's not so favorable from a profitability perspective.
Johan Andersson: Thank you very much. We just got another question here on our pro robotics business. Given our strong growth there in Pro Robotics and our market leadership position, do we see any further expansion of use cases? Are we broadening the scope more? You focused a lot on golf and certain areas. Do you see further scope here when we are to build on this momentum?
Pavel Hajman: Well, yes, absolutely, we do. I mean, if you start with being within the existing scope, but still some areas of application we were not present is, for example, ball picking around the golf as one example for the future also to be able to do green mowing autonomously, bunker raking autonomously. There are, of course, opportunities there. When you go over more to the, so to say, community space, one area which, of course, is of interest and that I think will be a future, so to say, potential is trash picking in public areas, parks around various sports fields and stuff like that. Here, actually, we have a minority stake at a German start-up, which actually is exploring those opportunities and already have several, so to say, pilots ongoing with German cities actually testing their solution, which is actually working quite well. So of course, there are further opportunities, yes.
Johan Andersson: Good. Many thanks. Operator, have you got any final questions on the telephone conference? Or are we done with the queue?
Operator: We're done with the no questions on the phone.
Johan Andersson: Okay. And we have not any further questions mailed in here. So I think with that, we will thank everyone for dialing in and joining over the web. And we then will report Q3 in October, and then we will have a Capital Markets Day in Q4 as well. So thank you very much for listening in, and have a great day.
Pavel Hajman: Thank you.
Terry Burke: Thank you.